Operator: Good afternoon. My name is Marvin and I will be your conference operator. I would like to welcome everyone to the Xilinx Second Quarter Fiscal Year 2012 Earnings Release Conference Call. [Operator Instructions] I would now like to turn the call over to Rick Muscha. Thank you. Mr. Muscha, you may begin.
Rick Muscha: Thank you, and good afternoon. With me are Moshe Gavrielov, CEO; and Jon Olson, CFO. We will provide a financial and business review of the September quarter, and then we'll open the call for questions. Let me remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information that is currently available and that actual results may differ materially. We refer you to documents the company files with the SEC, including our 10-Ks, 10-Qs and 8-Ks. These documents contain and identify important factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. This conference call is open to all and is being webcast live. It can be accessed from our Xilinx Investor Relations website. Let me now turn the call over to Jon Olson.
Jon A. Olson: Thank you, Rick. During today's commentary, I will review our September quarter results. I will conclude my remarks by providing guidance for the December quarter. Xilinx sales were $555.2 million in the September quarter, a decrease of 10% sequentially. This was in line with the revised sales guidance we provided on September 20, but lower than the forecast we provided during our last earnings conference call due primarily to weaker than anticipated business from customers in the communications and industrial and other categories. Gross margin was 63.9%, slightly better than anticipated, driven primarily by favorable customer mix and product mix. Operating expenses were $200 million, less than guided due to lower than expected restructuring charges as well as lower variable, R&D and legal expenses. Operating margin was $155 million or 27.9% for the quarter. New product sales decreased 5% sequentially during the quarter due to declines from Virtex-5 which were impacted by decreases in wired communications that more than offset increases in wireless business. Spartan-3 sales were also impacted by declines from wired communications during the quarter. 40 and 45-nanometer product sales increased sequentially, led by strong gains from Spartan-6. 28-nanometer products, particularly Kintex-7, contributed to new product sales shipping units to more than 50 customers during the quarter. Mainstream products decreased 15% sequentially and base products declined 14% sequentially. Sales from Asia Pacific were particularly weak during the quarter, declining 21% sequentially due to weak sales from wired and wireless communications business. Asia-Pacific sales represented 31% of total sales in the September quarter, down from 35% in the prior quarter and down from 35% in the same quarter a year ago. North American sales were down 11% sequentially, driven primarily by declines from the Communications and industrial and other categories. For the September quarter, North American sales represented 29% of total sales, down from 30% in the prior quarter and flat with 30% in the same quarter of the prior year. European sales were essentially flat for the quarter, as the sales increase in Communications was offset by sales declines from all other end market categories. European sales represented 29% of total sales in the quarter, up from 26% in the prior quarter, as well as the same quarter of the previous year. Lastly, Japan sales increased 5% sequentially in the quarter, representing 11% of total sales with strength from all end market categories, with the exception of Data Processing. Let me now turn to a discussion of end markets. Communications sales declined 12% sequentially, representing 44% of total sales driven predominantly by wired communication decreases. Industrial and other sales decreased 10% sequentially to represent 33% of total sales, driven primarily by decreases from industrial, scientific and medical and test and measurement. Defense sales were down slightly. Consumer and Automotive sales increased 2% sequentially to 16% of total sales, as increases in consumer and audio/video broadcast offset a slight decline in Automotive. Data Processing sales declined 17% sequentially as declines in computer and Data Processing more than offset a slight increase from storage applications. Net income for the quarter was $126 million or $0.47 per diluted share. Other income and expense was a net expense of $8.6 million, slightly higher than guided due primarily to slightly higher interest expense associated with the fair market value of certain elements of our convertible debt. Operating cash flow for the September quarter was $200 million before $18 million in CapEx. We paid $50 million in cash dividends and repurchased 4 million shares of stock during the quarter for $122 million. The tax rate in the September quarter was 14%. Diluted shares for the quarter were 267 million. There was no dilutive effect from our convertible notes, as the average stock prices during the quarter did not exceed the conversion price. To provide greater clarification regarding the dilution associated with our convertibles, we have recently posted a convertible FAQ to our Investor Relations website at www.investor.xilinx.com. Let me now comment on the balance sheet. Cash and investments decreased $17 million to $2.8 billion. We have approximately $1.3 billion in convertible debt and our net cash position is approximately $1.5 billion. Days sales outstanding decreased one day in the September quarter to 35 days. Inventory dollars at Xilinx declined by $28 million sequentially. Combined inventory days at Xilinx in distribution in the September quarter were 126 days, up from 117 days in the prior quarter. This is inclusive of approximately 17 days related to the build ahead associated with the closure of a legacy fab line. Let me now turn to a discussion of guidance for the December quarter of fiscal year '12. Our backlog heading into the quarter is down sequentially. We are expecting sales from Virtex-6 and Spartan-6 families to increase and sales from our 28-nanometer families to significantly increase sequentially. From an end market perspective, we are expecting sales from Communications to be down sequentially with wireless declines offsetting an increase from wired communications. Consumer sales are expected to be approximately flat, as Consumer and Automotive growth offsets declines from audio/video broadcast. Industrial and other sales are expected to decrease sequentially primarily due to declines from test and measurement and Industrial, Scientific and Medical. We're expecting defense sales to increase. Lastly, coming off a weak quarter, Data Processing sales are expected to increase sequentially. As a result, we are expecting total sales to be down 3% to down 8% sequentially, with sales from all geographies expected to be down. The midpoint of our sales guidance is predicated on a turns rate of approximately 57%. Gross margin is expected to be approximately 64% as yield improvements and cost reduction efforts offset strong growth in our newest products. We remain committed to our corporate model of 64% to 66% and anticipate gradual improvement over time as we drive yield improvement in these product lines. Operating expenses in the December quarter are expected to be approximately $203 million, including approximately $2 million of amortization of acquisition-related intangibles. Nearly all of this increase will be associated with higher R&D spending associated with 28-nanometer product development. For fiscal year 2012, we now expect total operating expenses to be approximately $820 million to $830 million, including amortization of intangibles as well as the recent restructuring charge. This is a decrease from the guidance we provided at our last Analyst Meeting last March of approximately $850 million, including amortization of intangibles. Most of this decrease is related to lower variable spend associated with a lower sales base, in addition to the impact of cost controls as a result of the weaker macro environment. We will provide fiscal year 2013 guidance at our upcoming Analyst Meeting on February 15 in San Francisco. Other income and expense is expected to be a net expense of approximately $8 million. The share count is expected to be approximately 266 million shares. The tax rate is expected to be approximately 14%. Let me now turn the call over to Moshe.
Moshe N. Gavrielov: Thank you, Jon, and good afternoon to you all. Weak sales in the September quarter and lower than seasonal guidance for the December quarter suggest we are in a period of inventory adjustment across many of our end markets. While the PLD industry is certainly not immune to macroeconomic forces and short-term corrections, believe that Xilinx is better positioned than ever for long-term growth. First the micro trends driving programmable solutions of our ASICs and ASSPs has never been stronger. Second, our competitive position has improved dramatically with clear leadership at 28-nanometer. Third, our industry-leading innovations enabling programmable systems integration, driving a new level of bond [ph] and system level customer value. The September quarter, while new product sales declined 5% sequentially, sales from our Virtex-6 40-nanometer and Spartan-6 45-nanometer products increased, now represent more than 10% of total company revenue. Spartan-6 devices experienced strong growth from communication, industrial and consumer applications, and sales from our Virtex-6 HXT devices with 11.1 gigabit per second transceiver speed increased over 30% sequentially. We expect these families to show continued growth in the December quarter as well based on customer forecast. In the September quarter, we achieved a number of key milestones that significantly boost customer value with 3 key elements enabling programmable systems integration. ARM-based processing integration with the Zynq-7000 family, the integration with stacked silicon interconnect technology and mixed signal integration with our Agile Mixed Signal technology. Last quarter, we take out the PLD industry's first embedded system platform. The Zynq-7000 device will be sampling in the December quarter, building on what we believe to be well over a year time-to-market advantage with customer designs which started over 18 months ago using our emulation platform. The Zynq-7000 family is the first of its kind to integrate a world-class 800 megahertz dual core ARM processing system, 28-nanometer low power programmable logic combined with a software-centric use model. It enables a great system and bond [ph] level value through the integration of the processor, DSP and FPGA functionality in one device. Design win momentum is also very strong and broad-based. Current design wins include applications in the automotive, defense, test and measurement, industrial, scientific and medical market segments. With regards to stacked silicon interconnect technology, SSIT, the Virtex-7 2000T FPGA has generated significant design win activity in this quarter. This device, which is scheduled to sample to multiple customers in the December quarter, is industry's -- has the capacity programmable logic device and delivers twice the capacity of the competition, almost 3x the system's bandwidth and 50% to 70% reduced system-level power and cost through single-chip FPGA integration. This is a game-changing innovation. It provides us with a generational time-to-market advantage over the competition. Lastly, we have also delivered the third generation integrated Agile Mixed Signal at 28-nanometer. Now available across all of the product families, highly flexible integrated AMS block eliminates a wide range of discrete analog functions and delivers a typical cost savings of $2 up to $7 armed with greatly enhanced system-level performance, board savings and reliability. These bill of material cost savings are most highly valued by customers designing with Artix-7, our 28-nanometer high-volume FPGA family. I'm delighted with the rapid rollout of our 28-nanometer product family, which is unquestionably the fastest new product generation rollout in Xilinx's history. We have taped out 6 devices to date and are confident that by early 2012, we'll be sampling from our entire 28-nanometer product family. Design wins now total more than 200 designs, well over $600 million of lifetime revenue. Last quarter, we sold thousands of units to 50 discreet customers who are anticipating significant revenue growth in the December quarter. To summarize, I've never been more confident in Xilinx's opportunity for growth and in our expanded product portfolio. Despite some uncertainty in the macroeconomic environment, remain convinced that the overall larger trends are intact and expand our opportunity as our 28-nanometer leadership has led to significantly improved competitive position that our innovation in enabling programmable systems integration is creating a new level of customer value at the system and bond level. As a result, we expect our 28-nanometer product families to ramp significantly faster than our 65-nanometer and 45 -- 40 and 45-nanometer families and expect our game-changing product strategy will drive continued share gain against ASICs and ASSPs as well as PLD share. Let me now turn the call back to the operator to open it up for the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of James Schneider with Goldman Sachs.
James Schneider: If I look at your guidance relative to some of your peers with similar communications exposure, or some of your customers or coms OEMs, it seems better, and it seems to me like some of that differential can be explained by the fact that you expect wireless to be up. So can you talk about why you have confidence that wireless will be up when in past quarters, you've had various levels of customer pushouts in that area?
Jon A. Olson: Jim, this is Jon. So first, relative to data points, I really haven't studied many of those data points because there are as many out there, relative to the supply chain in the communications at this point in time. So our guidance is impacted by a few things. One is last quarter, I did talk about the build aheads that were being done in some of our Communications business, so that was -- it kind of exacerbated our down situation and there was more inventory adjustments than we had even anticipated some of those large communications suppliers. So we are seeing some bounce back, particularly in Asia, from that area. So I think there's a little -- part of your --  the answer to your question is a little bit of timing of when they took it versus when they're going to take it in the supply chain.  The second part is, I think you may have incorrectly heard us that we think wired is going to be up next quarter and not -- and wireless is not going to be up; it's going to be down for us. So from a wired perspective, again, many of the same inventory adjustments that occurred were in the wired space and we do think we're going to get some bounce back from that perspective. On the wireless side, we had a very strong wireless showing that this quarter and again, there is some moderation in that across our big customer base.
James Schneider: Thanks that's very helpful. And then just a follow-up on the OpEx guidance. You talked about most of that reduction being on the SG&A and variable expense side. Can you talk about any kind of pushouts or anything on the -- that's affecting R&D? Because I think there was some R&D effect in the September quarter that you had talked about during the pre-announcement.
Jon A. Olson: Yes. The OpEx thing has got a few twists in it, so kind of let me go through it. The reductions overall for the year are actually mostly in R&D. It's mostly us pulling back some in headcount and so a little bit of smoothing going on and masking the wafers between this fiscal year and next fiscal year. And that's really just the way we've realigned a couple things in our product roadmap, so nothing really significant to the production worthiness of our product family and our fast rollout that we've talked about before. But we are pulling back some in R&D just because we were pretty aggressive in some of the hiring plans, and so we're trying to find places that we can save money here and there because of the macro environment to make sure our bottom line still looks pretty good. While it is true that variable expenses, which hit both R&D and the sale on the SG&A side, because we have quite a bit of re-compensation which is variable. Then again, variable on the sales side would be commissions, those kinds of things. Unfortunately, some of that is being, that savings is being offset by higher legal expenses. Even though we said we had lower legal expenses this quarter, they're popping back up again in the second half of the year, as we continue to be -- to get -- I guess attack, maybe is the word. If people -- the trolls keep coming after us for things and so we have a strategy of vigorously defending ourselves in these particular IP litigations. And so we're having a protracted period of higher expenses which are offsetting some of the expenses in SG&A. So net-net, we see SG&A going down not very much, and we see R&D going down the most.
Operator: Our next question comes from the line of Vivek Arya with Merrill Lynch.
Vivek Arya: I was wondering if you could talk a little bit more about the demand environment. On the one hand, PLDs are supposed to be the secular growth market and should be somewhat immune to the cycle. But on the other hand, when I look at your guidance and trends, they're only slightly better than, say, the more mature analog sector as an example. I understand there's perhaps a bit more lumpiness among some of your customers. But I'm really interested to hear what you're seeing in the end market. Is it just customer lumpiness? Or are you seeing perhaps a slowdown in this ASSP and ASIC replacement by PLDs?
Jon A. Olson: Let me give a little end market color and then maybe Moshe can jump in with a little more customer trend kind of thing. Essentially, what you're seeing is a lot of weakness in the midsize and small customers and a lot of this is in the industrial and other categories. So broad-based Industrial, Scientific and Medical has had a very good run over the last 4 or 5 quarters for us, and we're seeing much more caution in inventory adjustment and just general reticence to jump into things in that particular area. So it's not all communication story here. There's a broad base of customers that are definitely having slowed down. Having said that, the communications side of the business, there is lumpiness going on with large customers. Very strong wireless, particularly out of our European customers serving -- as they serve the rest of the world. But then a lot of lumpiness coming out of Asia-Pacific where you saw such a strong decline for us, 21%, but then we do think that bounces back some in the next quarter. So there is a fair amount of lumpiness. One more statement before I turn it over to Moshe is, there is -- in terms of all the new designs and some of the existing designs from our last 2 or 3 generations of products that are still in the mill, we are not seeing people, our customers, push out design cycles for them. They are being more cautious, but no one's canceling -- at this point we don't see canceling of design activities going on. So I'm trying to kind of be cautious about the macro environment but say there's a lot of inventory adjustment and caution going on overall.
Moshe N. Gavrielov: Yes. I can reinforce what Jon said, and the trends that we are seeing in terms of our customers' new systems is that a larger and larger portion of the solution is being implemented inside the FPGA and the primary change there is that ASICs are becoming really quite rare. And as we move forward to the 28-nanometer, then this trend accelerates. And so our expectation, and this is fully supported by what we're seeing as the number of new ASIC design starts, is that FPGAs are becoming -- replacing a significant part of ASICs. Those trends are now starting to manifest themselves. They were apparent at the 40-nanometer node and they're accelerating at the 28-nanometer node. Unfortunately, in terms of revenue, that's still a small part of our revenue and hence, that gets drowned out when there's sort of a macroeconomic downturn. So that trend is very, very solid and ASICs definitely are on their way out. And in some areas and in lots of applications, we're finding that what we're competing against is, if it's high-volume application, then we're competing against ASSPs. We're being quite successful there, in particular at the -- with the 28-nanometer solution. Now where that gets accelerated is due to the 2000T, the newest device we have, which has twice the capacity of what you can achieve on a monolithic device, and that enables us to compete with higher end ASICs than we ever have before, and that will enable us to capture market share. But again, you shouldn't confuse the short-term trends with the longer-term ones. And the short-term ones are driven somewhat by macroeconomics, but the strategic direction of more FPGA content is definitely continuing to strengthen and I'm absolutely confident that, that trend is going to continue.
Operator: Our next question comes from the line of Glen Yeung with Citi.
Glen Yeung: As you guys think about what's clearly an inventory reduction that's going on now, can you give us a sense, one, if you have any idea if we're coming to a bottom. Some of your peers have suggested that we may be in that inventory reduction. And then maybe in response to that, could you also compare and contrast to the environment that you saw in 2008?
Jon A. Olson: Yes. I'm reticent to say that we're approaching the bottom or not, because I don't really know. I mean, we're certainly -- and I'll kind of go to the second part of the question and kind of circle back to the first one. If it ends up looking like 2008, we have a lot more bottom to go because there was a lot lower drop -- precipitous drop in the industrial segments than we're seeing right now. And our indication of what's different at least at this point in time from 2008 was really around design win activity and cancellation of programs that were in flight or close to our production level, and we are definitely are not seeing that now. That's why I kind of wanted to emphasize that in the answer to the previous question is, this doesn't, right now, feel to us like it's a 2008 scenario, but I don't have enough visibility to really forecast whether we're at the bottom in the December quarter or not.
Operator: Our next question comes from the line of Uche Orji with UBS.
Uche X. Orji: Can I just start off by asking you about Automotive? Your comment about Automotive being slightly down, you're being contrast with Linear, as I reported today, and their comment was, this is one area where they're going to see growth. Obviously, I know you sell different things, but any comment as to what you can make to round out the module [ph] would just be helpful.
Jon A. Olson: Yes, we're very bullish on Automotive, Uche. This quarter was -- I would say again, has something to do with inventory adjustment and a kind of a platform switching to our latest platform, we have even more content. So we actually -- I do believe Automotive continues to be a strong growth area for us. I think if you -- last quarter when we were on the call, several people had said Automotive was weaker and ours was actually stronger. So there's obviously some timing differences between when those things occur for us versus others, and what are the value position that we're in, in the automobile is, versus maybe other people. We're seeing much more -- much bigger adoption of FPGAs and when I think about the SoC level device of a Zynq platform, we're seeing even a larger uptake of that across the Automotive platform for the in-car kinds of things that we do, driver assist and infotainment, that level of product. So we're still very positive about Automotive.
Operator: Our next question comes from the line of Ambrish Srivastava with BMO.
Ambrish Srivastava: Question on margins. Good to see you guys deliver on the promise of keeping margins -- having them go up in December. As we think through the next couple of quarters, your yields have come up on the 40, 45, but then you're also wrapping 28, albeit it's going to be a very small number. How should we think about margins, everything else being equal?
Jon A. Olson: Yes. So the challenge for us always when we're ramping new products is, and particularly we have this fast ramp, is that as we throw a 100 wafers into the foundry early to get engineering samples and then early customer samples and then we move into production; the more of those you do, the more margin drag you end up having in the process, but we've been cautious about talking about margins from the standpoint of, we know those things are coming at us, but we also know that we had cost reductions in the form of both internal things we've done, and also price negotiations for wafers that were giving us second half benefit. And so the way we have things modeled now is, those things can offset each other and give us a little bit of a positive along the way. So assuming all those elements happen as we estimate it, we should be okay. So we have counted on the fact that we're going to be ramping new products in this whole algorithm. And barring any serious issues with the new products, we should be in reasonable shape.
Operator: Our next question comes from the line of C.J. Muse with Barclays Capital.
Christopher J. Muse: I guess on the OpEx side, the implied midpoint there is about $218 million or up 7% in the March quarter. I'm just curious there, should we be reading that as largely legal? Or are you seeing increased mass set designs, tape-outs, et cetera? How should we interpret that?
Jon A. Olson: Yes, I would say it's probably at least 2/3 R&D because of mass sets, and not so much headcount growth -- some, but those expense is related to that, and then a little bit in SG&A due, again, primarily to the legal forecast.
Christopher J. Muse: And I guess just a follow-up in terms of gross margins. As you think about the ramp of series 7 and I guess yield implications from series 6, how should we be thinking about that, as that -- as we go through the next couple quarters? Is that an important part of the gross margin story here? Or are there other factors that we should be thinking about?
Jon A. Olson: That is probably the biggest issue outside of our customer mix is the rate of ramp and the rate of improvement of the defect density in the foundries. And we've been very pleased with the results we've got on the new products, particularly all the 28-nanometer products in terms of yields. And so if we stay on that yield path that we are on, again, I think that we've got other things going on elsewhere in cost reduction to help offset any drag that would give us, but that is the biggest factor other than customer mix.
Operator: Our next question comes from the line of Tristan Gerra with Robert Baird.
Tristan Gerra: Given the lead time contraction versus a few quarters ago, do you expect any changes in your ASP trends going forward, notably from mainstream and base products? And also you mentioned that there was some weakness at small and midsize customers. Does this have any gross margin implications?
Jon A. Olson: Yes. So from a lead time perspective, there's no doubt that our lead times have been shortened tremendously and you that our turns estimate from a percentage basis for next quarter is quite high from our last 4 or 5 quarter trend at 57%. So we are -- we do definitely believe that because of the short lead times and people's caution, they've waited in terms of placing orders on us, so that gives a fairly high turns number. From an ASP impact of all that, not really much because our ASPs are generally baked in, I'll say in the medium term. For large customers, they might have as much as a year in advance pricing. And then smaller customers, unless they just do spot buys, they typically are running 3, 4-month kind of price commitment. So we have a pretty good understanding on an order-by-order basis of what the margin's going to be. Then mix, both the customer and the product mix have the biggest impact. But I don't think we're going to -- we're really exposed on ASPs in particular on that. And then relative to the weakness of the midsize and small customers, there's no doubt that midsize and small customers pay us higher prices and that has a drag effect on gross margins. If you look at the impact or the percentage of our large customers, our top 50 customers as a percent of total revenue, it's about the same as it was last quarter. So therefore, everything kind of moved down in the same percentage and the same proportions, if you will. So that weakness, if it's greater than our large customers, it could have some drag on gross margins, but right now, we are -- we think things are pretty well balanced going forward.
Operator: Our next question comes from John Pitzer with Credit Suisse.
John Pitzer: Two quick questions. Jon, maybe just a follow-on to your last answer. You mentioned turns were higher for this quarter than they have been in prior quarters. Can you put that into perspective as far as where we are in the cycle? How worried should we be about this turns level given where we are in the cycle for guidance? And I have a follow-up for Moshe.
Jon A. Olson: Yes. So -- I mean, that totally is a $64 question, or $64 million question or whatever relative to why we have high turns, and we're saying that business is off for us. What's our confidence level in all that? And the way we go through our process is we do a buildup of both large customers forecast, short-terms and long-term forecast and then we also have an order patterning coming from both -- all our sources for the medium and small-sized customers distribution, our own salesforce if they happen to take care of the medium-sized customers, and then we sit down and we look at all those trends and we track those actually on a daily and weekly basis, just on a go forward, rolling basis and look at where the trends are. And so, while it is a high number, we do feel confident that even if quite a few customers took the same or less, we'd still be able to meet it because we do have a fair amount of our top 50 that have convinced us they're coming back for more products and more revenue than they had in the last quarter. So it's just the overall amalgamation of all that as a downward trend.
John Pitzer: And then I guess, Moshe as a follow-up, given that it's still early days in 28. When you look at the momentum that you guys have there. How much of this is, kind of, rewinning sockets you lost at 45 versus, kind of, new market opportunity with ASIC replacement? And as you guys think about regaining those sockets, how should I think about incumbency and the benefits of that as you try to get back share?
Moshe N. Gavrielov: Well, incumbency has value, but it has limited value because most of the customers actually are capable, at least the big customers are capable and have strategy -- have some level of balance between the 2 major providers and they have the tools and they can do designs with both. And obviously, we felt that because we clearly had the majority of the business -- vast majority of the 65-nanometer node and then at the 40-nanometer, at the high end, it clearly went the other way. Being first, having a broader product portfolio, rolling it out as quickly as we are and having tight market advantages in our mind are compelling reasons. And that's why we expect to see our share inside the FPGA or PLD market start growing again as 28-nanometer goes into production. And then this will just benefit from the fact that the market is clearly expanding as FPGAs are replacing ASICS in more and more applications. So we see the pie growing and we see our portion of the pie growing back with the 28-nanometer. Now it's difficult for me to sort of size those 2 trends, but I think the pie, overall, is growing at a fast rate and market share tends to shift over time. And the market share becomes more evident, but it takes longer for it to be visible whereas growth of the pie happens faster. And so if you're looking for numbers, I would expect that market growth -- overall market growth is 2x faster than the implication of market share and that's somewhat intuitive, but that's the best I can do.
Jon A. Olson: I mean, of the things I will just add to that, is that Moshe talked about, the design win lifetime revenue is over -- greater than $600 million, and now it's just [ph] quite a bit bigger number than a quarter ago when we talked about it. There's no doubt that some of that $600 million is winning things back that we had lost at 40- and 45-nanometer. Just like there's no doubt that it's expanding the market through Zynq, our SSIT platform, large FPGAs. Both of those are gaining significant tractions and those are largely expanding the market beyond traditional PLDs against ASSPs and/or ASICs.
Operator: Our next question comes from the line of Shawn Webster with Macquarie.
Shawn R. Webster: Just a couple of mix questions, and -- but before I get to the mix question, my first pre-question is on cancellations and pushouts. Did you see anything near the end of the quarter? Maybe if you can comment quickly on linearity.
Jon A. Olson: So, yes. There's no doubt that we, throughout the quarter we saw pushouts and -- because we were -- that was really the source of our pre-announcement relative to a lower revenue number. We had quite a few pushouts and there were cancellations in that. But then we also saw that after the cancellations, there were some re-bookings. So it's really a mixed bag and you kind of feel for a few weeks there like you're in a freefall, because you're not really sure where the hard ground is, but we definitely have seen both of those more on the pushouts than cancellations though.
Shawn R. Webster: And do you expect the December quarter to be fairly linear? Or are you counting on certain months being your stronger months?
Jon A. Olson: December is typically fairly linear for us. It gets a little soft at the Christmas timeframe, but generally pretty linear for us.
Shawn R. Webster: Okay. And then -- sorry my mix question is on -- you talked about the 40-nanometer -- your 40- and 45-nanometer revenues grew. Can you quantify that for us and maybe share with us what your mix of 40-nanometer is today?
Jon A. Olson: So generally we talk about these things kind of in one generation, so 40 and 45 to get us on -- if you're asking me to parse this to you, I'm not going to be able to do that. As a group, they -- it did grow and relative to -- I'm trying to recall how you asked the question, sorry.
Shawn R. Webster: Well, how much did it grow? Can you quantify it?
Jon A. Olson: Yes, it grew 10%, excuse me -- between 5% to 10%, sorry.
Operator: Our next question comes from the line of Sanjay Devgan with Morgan Stanley.
Sean Hazlett: This is Sean Hazlett dialing in for Sanjay. It looks like the last time you reported earnings, about 85% of the lead times of your line items were 4 weeks or less. How does that compare to lead times today?
Jon A. Olson: Well, that's our metric is -- the percent of lead time is over 85% and we are, I'd say we're higher than that. I would say we're -- excuse me, we're less than 4 weeks, I'd say we're 95%, maybe 95% plus.
Sean Hazlett: Okay. And then another quick question. When can we, kind of, expect to see a meaningful percentage of revenue from your Zynq-7000 product?
Jon A. Olson: Zynq won't be significant for us for quite a few quarters. I mean, we have some very significant early design wins, but there's a lot of work to be done to integrate a SoC in a customer's application, so they're working way ahead of that. And it's also a new category, and we're being very expeditious about making sure we can support processor-like support for everybody in terms of the ecosystem and we've been focusing on a handful of end markets to make sure we're very effective, they're like Automotive, scientific and medical, broad-based, industrial, and then some in Communications, but I think it will be several quarters before you see anything really significant.
Operator: Our next question comes from the line of Mark Lipacis with Jefferies.
Mark Lipacis: There's a view out there that the wireless network topology shifts to smaller cells and less expensive base stations to accommodate the higher wireless data demand. And I'm wondering if you could share your thoughts on how you see this trend playing out and how this impacts you. And if you could maybe give us some kind of relative metric as to the kind of typical content you might have in a large base station versus a smaller base station.
Jon A. Olson: Well, there's a lot of different topologies relative to what different companies are talking about, what the future is going to look like in terms of how much is sitting out close to the antenna and how much is back in the Central Office or how much is being run in the cloud and et cetera. The small cell has been getting a tremendous amount of talk lately and things. But quite frankly, even -- any of the OEM's strategies always have -- still have macro cells at some level involved in all this. Small cells are something that we continue to look at and look for opportunities to play in those, but we see this as -- it's not going to merge for quite a few years before there's any significant percentage of the overall infrastructure revenue coming out of small cells. It just doesn't seem to be well worked through yet in terms of how it's going to roll out, which providers would adopt it, and how it -- they can't throw away all of what they have today, so it is pretty interesting how -- when think you think about how the new thoughts are going to play with the old thoughts when a lot of it -- a lot of your money comes from expanding existing -- coverage in existing cities. And so there's a lot of things to be worked out there and we're definitely in the middle of that from a strategic perspective, trying to figure out exactly how it's going to roll out and we're confident we'll be there and still play in a significant way in the wireless infrastructure even if small cells become the thing.
Operator: Our next question comes from the line of Ruben Roy with Mizuho Securities.
Ruben Roy: Jon, just returning to that question about 40-, 45-nanometer. Can you give us an idea of what percentage of revenues you've gotten to today? And then as a follow-on to that, you talked about Spartan-6 starting to ramp here. In terms of your 28-nanometer products also ramping, do you expect Spartan-6 to be a meaningful product? Or eventually in next year and the year after, do you think Kintex and perhaps Artix  will take over for Spartan-6?
Jon A. Olson: Yes. So 40- and 45-nanometer collectively was greater than 10% of revenue in the quarter, so get that question out of the way. And Spartan-6 has really been our -- been an extremely strong competitive answer to the fact that our competitor did not do a high volume base product at that node, the 40-, 45-nanometer node. And the reason that we're getting very strong design wins and starting to have some pretty significant revenue ramp there is because we kind of have a free reign relative to design wins for this -- devices that have a certain scale that have transceivers associated with the small form factor. In fact, our biggest competition is likely the small -- one of the smaller PLD competitors versus Altera in that situation. We're doing very strong, very well because of the transceiver capability there and the low power capability of Spartan-6 versus all other alternatives out there today. So those are the winning dynamics for that. So while it's true that Artix will come in and certainly play a role for the next generation in that same category, it's going to be a while before that -- there's traction there. We're just going to be sampling the first Artix early and that seems -- early sampling early in January and it will be -- excuse me, early in the January -- the March quarter and it will be a while before we -- there's real traction on the Artix family. Also Artix brings some different characteristics like the mixed-signal capability that we talked about. So it's going to have, also, some different play and it's going to move up in -- the high end of Artix will move up and play a role and some of -- where traditionally the midrange has been for our competitors. So it's actually a pretty broad family relative to what Spartan-6 was.
Operator: Our next question comes from the line of Srini Pajjuri with CLSA Securities. Srini Pajjuri - Credit Agricole Securities (USA) Inc., Research Division Jon, on the wireless and wireline being little bit lumpy here, just trying to understand -- if you look at from a different geographic standpoint, just trying to understand what are some of the trends you're seeing in China as well as in the U.S. And also and on the wireline side, I'm a little surprised to see that it's actually coming back up in Q4, if you could kind of tell us what's driving that?
Jon A. Olson: Yes. So from a wireless perspective, we had a really strong quarter in that particular area, I mean in wireless area that was driven out of our -- you can tell our geographic -- from a geographic perspective that Europe was essentially flat and it was the only geography that was in that situation, so you can imagine that a lot of that came from our strong wireless business there. And some of that was a little bit of catch up from the previous quarter, but generally, we do feel wireless will be, in that area, will be strong for us again another quarter. It's been -- if you look at the Asia-Pacific sales, our Asia-Pacific sales were down significantly 21%, in terms of it's down, and a lot of that was due to our communications businesses there which has soft in both wireless and wireline. So the view that things are coming back in wireless, excuse me, wireline is really one of an inventory adjustment that had happened -- pull-aheads in the previous quarter and those customers are going to be taking some product this quarter. So there are customer-specific situations where we think the inventory adjustment will be over and that's now over, and therefore, they're going to get back to, obviously, a normal run rate and those happen to be more associated with our Asian -- Asia-Pacific customers and in the wireline area.
Operator: Our next question comes from the line of David Johnson with Pacific Crest Securities.
David Johnson: I want to come back to the OpEx. I talked about R&D in the March quarter being impacted by higher amount of mass cost. I was wondering if we should expect the majority of that to roll off exiting the March quarter. And then second question was just on the stacked silicon technology. I'm just wondering if you could remind us whether that technology is going to be fairly limited to the high end or if you anticipate it proliferating throughout a broader set of your product groups.
Jon A. Olson: So I'll take the OpEx one and give Moshe the stacked silicon one. From an OpEx perspective, so yes -- so we do continue to see an increased number of tape-outs quarter-by-quarter for the next several quarters as we continue to roll out our 28-nanometer family. We aren't -- the peak for that in this fiscal year is going to be the March quarter. We aren't providing a forecast at this time for FY '13, but we will not be done rolling out our 28-nanometer product, taping them out by the end of March. There's still more that will come in the next year. But we're going to provide more color and information around that when we talk about our OpEx number for next year and we get to the analyst day in mid-February.
Moshe N. Gavrielov: And with regards to SSIT, it started at the high performance in the high end of the family and it addresses 2 portions. The first is with regards to capacity or density, and all of the high-capacity devices are implemented using SSIT. And in addition, we're going to use that technology for integrating our ultra high performance transceivers. And that will enable us to have, what we believe is transceiver performance which is second to none using that technology. So both fall into the high end of the product offering and they're both Virtex derivatives: one is high capacity; the other is high transceiver count and high transceiver performance.
Operator: Our next question comes from the line of David Wong with Wells Fargo.
David M. Wong: For the generation of product following the 28-nanometer technologies, are you going to stick with a similar design manufacturing plan? In other words, are you going to have a unified architecture manufactured on a single HPL-type technology with a single foundry?
Moshe N. Gavrielov: So we obviously haven't announced what our plans are in that regard, but we are delighted with the benefits we've seen on the 28. And you can bet that we will continue to use similar methodologies as it makes sense. And we are in the midst of advanced definition and starting the implementation of those products. So it's a little too early to give away the recipe at this point in time, but it's going to be a wonderful product. We're very excited about it.
Operator: Our next question comes from the line of Sandeep Shyamsukha with Auriga USA.
Sandeep Shyamsukha: For 40-, 45-nanometer, now that you have announced that it is more than 10% of your revenue, would you be able to estimate what sort of market share you expect this family to have once the family is completely mature? And also, if you can speculate or estimate when you expect to hit a similar milestone for your 28-nanometer family.
Jon A. Olson: From a 40, 45 share perspective, where our strengths have been is in the Spartan class of products where there really isn't significant competition for us, as we have said in the high volume category, we expect to start gaining share next year all across all high-volume products. From a balance perspective though, of 40, 45 together, since we did introduce our 40-nanometer products later than our competition, I think if you aggregate the whole thing, we're -- we'll be approximately 50%. From a 7 series 28-nanometer perspective, our 7 series product family, I really can't estimate right now when we'll be at 10%. One would think that we could get there sometime in the next fiscal year, but I'm not going to exactly say when. I'm not sure yet.
Operator: Our last question comes from the line of Hans Mosesmann with Raymond James.
Brian Peterson: This is Brian Peterson filling in for Hans. Just a clarification on 28-nanometers. Could you guys discuss what percent of sales that was in the quarter and what the split was between Kintex and Virtex?
Jon A. Olson: So the most significant thing here, Brian, is the fact that we shipped for revenue to a very broad base of customers -- 50 customers and we shipped thousands of units. Really aren't disclosing anything specifically about the revenue number. I mean it was significant, but I mean, from a new product perspective, but it's not significant relative to the totality of our revenues. It's very early and the message for us has really been around the strength and the breadth of number of customers and across designs. From a product, individual product, there was certainly a higher percentage going to Kintex than Virtex because Kintex was the first part we taped out, the first part we sampled to customers. So Kintex was the leader, I'd say relatively significantly the leader in what we ship, but there's no doubt we ship significant numbers in revenue dollars of Virtex-7 products as well.
Rick Muscha: Thanks for joining us today. We have a playback of this call beginning at 5:00 p.m. Pacific Time, 8:00 p.m. Eastern time today. For a copy of our earnings release, please visit our IR website. Our next earnings release date for the third quarter fiscal year '12 will be Wednesday, January 18 after the market close. This quarter, we'll be participating in the CLSA Asia Forum in San Francisco on November 8 and the Credit Suisse Annual Technology Conference on November 29 in Scottsdale. Lastly, please do save the date for our 2012 Analyst Meeting on February 15 in San Francisco. More details to follow. This completes our call. Thank you very much for your participation.